Operator: Good day, everyone. Welcome to the Nova Measuring Instruments Limited Third Quarter 2015 Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Ms. Miri Segal of Hayden MS, IR. Please go ahead, ma’am.
Miri Segal: Thank you, operator and good day to everybody. I would like to welcome all of you to Nova Measuring Instruments 2015 Third Quarter Financial Results Conference Call and Presentation. With us on the line today are Mr. Eitan Oppenhaim, President and CEO and Mr. Dror David, CFO. I would like to draw your attention to the presentation that accompanies today’s call. The presentation can be accessed and downloaded from the link on Nova’s website at www.novameasuring.com in the Investor Relations section. Before we begin, may I remind our listeners that certain information provided on this call may contain forward-looking statements and the Safe Harbor statement outlined in today’s earnings release also pertains to this call. If you have not received the copy of the release, please view it in the Investor Relations or News section of the company’s website. Eitan will begin the call with a business update, followed by Dror with an overview of the financials. We will then open the call for the question-and-answer session. I will now hand over the call to Mr. Eitan Oppenhaim, Nova’s President and CEO. Eitan, please go ahead.
Eitan Oppenhaim: Thank you, Miri. Let me add my welcome to everyone and thank you for joining our 2015 third quarter financial results conference call. This was another strong quarter for Nova, with revenues in line with our guidance and profitability that exceeded the top line of our guided numbers. Albeit, the current market volatility will continue to deliver strong financial results, which continue to represent industry leading performance. According to our achievements so far during the first three quarters of the year and along with our Q4 guidance, we are expecting to deliver the third consecutive year of record revenue in 2015, reinforcing our strategic plan to continue our growth. This achievement is a result of well-executed plans to strengthen our market position and lead the metrology space. Looking forward, we have built during 2015 a solid platform, which is based on a broader customer base and a unique and diverse product offering that along with our proven financial model can continue driving our long-term profitable growth while navigating through industry cycle, which may occur in the short-term. During the call today, I will start with a review of our third quarter results. I will then provide some highlights regarding the integration of ReVera and some commentary on the progress with our main product lines. Following that, I will provide some commentary on the industry trends as they relate to opportunities in the market. And finally, I would conclude with our guidance for the fourth quarter of 2015. Following my commentary, Dror will review the quarterly financial results in detail. For those who are following the presentation, please proceed to Slide #4. For the September quarter, we reported revenue of $40.4 million at the midpoint of our guidance of $38 million to $42 million. This resulted in non-GAAP net income of $6 million or $0.23 per diluted share, which exceeded the high end of our profitability guidance of $0.10 to $0.20 per diluted share. With these results, we have delivered by now 25 consecutive quarters of profitability. Our quarterly results benefited from a diverse mix of revenues, including elevated level of software and service revenues, which drove better margins and profitability. Our service revenue hit record high of $10 million per quarter, representing an annual base of $40 million and 25% of our total business income. The numbers for 2015 represents growth of more than 25% year-over-year and a CAGR of 20% for the last 5 years. The growing portion in our service business includes, besides service contract and panel materials elements also proactive upgrades and advancements, which we add to our fleet in order to extend our installed base and address customer’s requirements. As our installed base grows and as these tools are utilized even further, we can efficiently address more revenue opportunities in the market, which in return allow the customers to improve their productivity even further. As part of our plan to diversify our product mix, we introduced 2 years ago a portfolio of software products that’s aimed at enhancing our metrology fleet. Following our extensive efforts to grow this segment during 2016, we are delivering a growing portion of software revenue compared to 2014 and we are on our way to meeting our long-term targets of 10% from overall product sales. During the quarter, we continued to solidify our position in the Foundry segment with our advanced portfolio of standalone optical metrology, integrated optical metrology and now also with XPS tools. Following the increasing adoption of our solutions, we are encouraged this quarter by the variety of deliveries we had across multiple nodes, including shipments to 28-nanometer node, 16-nanometer, 10-nanometer, 7- nanometer and even the most advanced 5-nanometer R&D line. Our results in the third quarter were bolstered by several head to head wins versus key competitors in multiple customers ranging from 28-nanometer down to 5-nanometer. Our portfolio today is proven to support our customers’ extendibility to the most advanced nodes, meeting the most technological challenges in manufacturing small-scale simple devices. During the quarter, we continued our efforts to strengthen our optical CD standalone position in the memory space as well with several extensive evaluations, as our customers started their challenging transition to a more advanced VNAND device beyond 32 layers. Producing these structures increases the technical complexity in multiple areas where the demand for process control is growing in order to better control the different stack layers and materials as well as the stability and repeatability of the whole device. We believe that the growing challenges will present growing opportunity for Nova to strengthen its position with our unique OCD and XPS offerings. The acquisition and subsequent integration of ReVera, which continues to go well has meaningfully changed our trajectory in a variety of positive ways. As we expected, this acquisition has solidified and expanded our position in the market, helping us diversify revenues, grow and further expand our customer base and most importantly it has created a unique competitive advantage that is well recognized by now by our customers. Following few months of integration, where we concentrated in bottom line synergy, primarily involving combining the sales channels and front offices, our focus now is shifted to developing a synergistic product portfolio to combine measurement from Optical CD and XPS/XRF tools to create a new hybrid solution. Investments in this initiative will continue throughout 2016 with the goal of bringing to the market a combined offering in 2017, leveraging the strength of each of these tools to meet the evolving needs of our customers. The newly introduced 3D devices in both memory and logic require advanced process control that can’t be addressed by a single metrology tool and therefore our unique offering of combining different types of metrology for both dimensional, film thickness in materials, can solve a growing portion of the challenges that couldn’t be solved so far. Nova continues doing business even in this highly competitive environment. In turn, our revenue and customer base is increasingly diversified. Today, four customers represent 10% or greater in revenues. As you may recall, the second quarter was more weighted towards memory customers, with foundry being somewhat soft on a sequential basis. This mix shifted back in favor of Foundry in the third quarter with more than 75% of our product revenue generated from variety of Foundry customers. For the second quarter in a row, our factory output continues to meet record demands. We have carefully created processes, which affords us the flexibility to reach even higher levels. Based on the current visibility in the market and in order for us to meet our customers’ fluctuations in demand, we are utilizing our production supply chain more efficiently, enabling us the flexibility to shorten lead time and increase output, while keep our expenses and inventory in normalized level. Let me now share with you briefly the progress we are having with our product portfolio. Our efforts to diversify our offerings are focused currently in creating holistic approach to process control requirements and include the most advanced in-situ integrated and standalone OCD tools, film thickness and composition solution, advanced software and algorithmic capabilities, hybrid solutions and advanced material characterization products. With our wider offering that is comprised of both OCD and X-ray technologies, we now cover a variety of applications in both front end and back end of line and we are increasing our footprint to leading customers. Although still in early stages of technology and product integration, it is clear that we have increased relevancy with our customers. And as we develop longer term roadmap, we expect this technology cross pollination to yield products that increased our served markets in all customer segments. The integration so far is giving us the confidence that tightening the product synergy would increase our available market going forward. Following our announcement last quarter in result to our new standalone OCD tools, the HelioSense100, we are encouraged by customers’ adoption with three leading customers already using the systems in their sites. The HelioSense100 addresses the industry transition to multi-patterning, small pitch manufacturing and 3D vertical devices by offering a wide range of metrology measurements that drive tighter process control for the most critical parameters in Logic, Flash and DRAM. Enhanced with the most advanced modeling capabilities, we believe we can address more applications in both content and back end, offline in more efficient way and accurate methods. Our integrated portfolio was enhanced as well with several additions aiming at the most advanced devices, including embedded memory and small pitch structures. This new version of our integrated platform signals a new era in productivity, extendibility as well as new OCD capabilities to meet the growing demand for tighter specs in additional measured parameters. As mentioned previously, we are progressing in our software front as well, with a growing revenue stream. Our software offering is getting more traction in the markets as it allows our customers to better control their process and utilize further their existing metrology fleets in the demanding environment, where specification are becoming tighter and time to market is becoming crucial. We are also making solid progress with the XPS roadmap, broadening the VeraFlex capabilities to meet growing variety of applications, multi-memory and foundry. VeraFlex III is well adopted by now across the industry, with multiple installations for both thin, thickness and composition application. Following the acquisition, we launched an aggressive roadmap to continue developing the VeraFlex platform to address even wider range of applications with better productivity. As part of our commitment to invest in technology innovation that will assist our customers in their growing technology challenges and contribute to their long-term success, we continue with our aggressive plans to invest in research and development programs that will require elevated investments as part of our P&L going forward. I will now turn briefly to the industry trends and market environment as they relate to our opportunities in the market. First, it is important to note that our 2016 visibility is limited. We are not unique in this area as industry analysts as well as other vendors are noting the market uncertainties. Our outlook, shared by others, is that 2016 will see a soft market relative to 2015. However, we still expect the complex transition to the most advanced nodes to continue in 2016. Tracking the foundry progress, while the focus in 2015 was the production of 16-nanometer and 40-nanometer FinFET in several sites, we believe that 2016 will be dedicated to 10-nanometer development and modest ramp by few customers only. Beside the investments in advanced 10-nanometer development, we can expect the foundry mix next year to include also some incremental expansion in the 28-nanometer nodes. In memory, we expect that DRAM spending will decline next year following the growth we experienced in the last few years. While we can expect a slower pace of investment, we believe that DRAM suppliers will keep investing in 20-nanometer conversions and moderate capacity expansions. In VNAND, we estimate that we will keep seeing incremental investment in capacity spending and conversion, while the industry undergo a transition from 32 to 48 and more layers. As we mentioned in previous calls, we believe that the investment in 3D NAND will continue as a steady pace over the years rather than a growth spike. Nova is not immune to the volatility and near-term uncertainty regarding timing and capacity that our markets are experiencing. Our goal as a company in a period like that is to be able to digest fluctuations in short cycles, while presenting long-term growth with solid fundamentals. Year-to-date, we have been successful demonstrating that. Furthermore, in light of the latest changes in our marketplace, we are definitely encouraged by the growing importance and position that process control and especially metrology capture in the transition to advanced nodes. Metrology is becoming a technology enabler that allow process equipment supplier to tighten their sophistication in order to meet customer’s demands. Our strategy to offer holistic and diverse portfolio to enable the industry transition establishes the advantage and the value that innovative company like Nova brings to the customers and the marketplace. We see that as a growing opportunity to demonstrate our value and strengthen our position even further. Now, I would like to share with you our guidance for the fourth quarter of 2015. Revenues will be in the range of $37 million to $41 million. Diluted EPS on a GAAP basis will be in the range of $0.11 to $0.20 per share. And on a non-GAAP basis, EPS will be at the range of $0.08 to $0.17 per share. Now, let me hand over the call to Dror to review our financial results in detail. Dror?
Dror David: Thanks, Eitan. Good day, everyone. Before I start with describing the current quarter results, I would like to draw your attention again to the purchase price location and amortization schedule per quarter, which are related to the acquisition of ReVera, which closed on April 2 this year. In my following prepared remarks, I will refer mainly to non-GAAP results, unless otherwise specifically mentioned. You can find a detailed reconciliation between GAAP and non-GAAP results per item at the end of the quarterly press release. Total revenues in the third quarter of 2015 were $40.4 million similar to the second quarter of 2015. Product revenues distribution was 75% from the foundry segment and 25% from the memory segment. During the quarter, the company had four 10% customers. Of the company’s overall product revenues, UMC accounted for 29%, PSMC accounted for 24%, Global Foundries accounted for 20%, and Samsung accounted for 12%. We believe these results are a strong indication of the progress the company made in its ongoing efforts to significantly diversify the customer base. Blended gross margins in the quarter increased to 56% relative to 54% in the previous quarter on a similar revenue base. This increase resulted from higher quarterly software revenues with higher margins and higher service revenues, which utilize similar cost base. The company non-GAAP target model for blended gross margins is 53% to 55% and we expect to be at that level on an annual basis. For the fourth quarter of 2015, we expect non-GAAP gross margins to come in at approximately 53%. On a GAAP basis, for the fourth quarter of the year, we expect to amortize the last significant portion of backlog acquired from ReVera. As a result, GAAP based gross margin in the fourth quarter of 2015 is expected to be approximately 50%. Operating expenses in the quarter slightly increased to $16.2 million and we expect operating expenses to remain stable in the fourth quarter of the year. Operating margins came in at a healthy level of 16% compared to 14% in the previous quarter. Most of this improvement is attributed to the higher gross margins in the quarter. Tax expenses in the third quarter, on a non-GAAP basis, were $0.4 million. This low level of tax expenses is attributed to tax incentives in Israel and to net operating losses, which were acquired with ReVera and enable us to reduce the tax rate on U.S. based profits. For the fourth quarter of 2015, we expect non-GAAP tax expenses to marginally reduce and we expect to present approximately $1.4 million of tax income on a GAAP basis. Non-GAAP net income in the quarter increased to $6.3 million, or $0.23 per diluted share. In parallel to the strong business and profitability results, the company generated $7.4 million in cash flow from operating activities and we have finished the year, the third quarter of 2015 with $87 million in cash reserves, which will enable the company to act upon business opportunities in the future. Moving into key balance sheet metrics, DSOs in the quarter were stable yet inventory turns in the quarters reduced to 2.6 times a year. This reduction in inventory churns is related to timing of shipments during the quarter as well as the build up of inventory related to new product configurations, which burdened inventory levels during the first phases of customer penetration and evaluation. During the quarter, we continued the previously announced $12 million share repurchase program and today have executed $11 million of this program. We plan to continue the execution of this plan in the coming quarters. With that, I will move the call back to Eitan. Eitan?
Eitan Oppenhaim: Thank you, Dror. With that, we will be pleased to take your questions.
Operator: Thank you. [Operator Instructions] We will hear first from Edwin Mok with Needham & Company. And Edwin Your line is open, if you still have a question.
Edwin Mok: Hey. I apologize. Thanks for taking my question and congrats for a great quarter. So first question I have is on the demand, it looks like you guys have some nice pick up at 28-nanometer Foundry, it was a fuel or rather than just one big customer here you have a few large customer there. Is that a trend you are seeing going into the fourth quarter and can you talk a little bit about how if 28-nanometer demand has been proved for your metrology product as a result of the investment you have made on your product portfolio?
Eitan Oppenhaim: Yes. Edwin, thanks for the question. So we definitely see the demand for 28-nanometer continues in the fourth quarter. And we also see some demand coming on the first quarter as well. We see that at least from three customers. It can be related to some increase in the Internet of Things and the sensor that’s been manufactured on those nodes. The tools that we deliver to those nodes actually has the expandability to go to even further nodes, so we don’t have any specific configuration to 28-nanometer. Our current portfolio can support the 20-nanometer, down to even 5-nanometer. So we are doing it with the current portfolio we have.
Edwin Mok: I see. Okay, that’s helpful. And then on service, you mentioned very strong quarter here right, did ReVera contribute to that. And then if it did, can you give us like the organic growth, sequential growth or year-over-year growth that you guys are seeing just from your historical product. And then how much is upgrade benefit from – benefiting your service revenue?
Eitan Oppenhaim: In terms of ReVera contribution, it’s more or less stable and expected to remain stable in 2015, so most of the increase was from the traditional OCD higher installed base and upgrades and timing materials. Looking into 2016, once we combined the sales channels, we will have increased visibility also to all the installed base of XPS globally. And this will positively impact the service revenues in 2016.
Edwin Mok: I see. Great, that’s helpful. And then can you give us some color around – you mentioned that you guys have some OCD product being qualified for advanced memory products beyond 32 layers what sounds like it’s probably for VNAND, right. Can you quantify where – can you kind of give us some color in terms of where you guys are with that, is that something that could potentially be 2016 opportunity for you and what is the size of that opportunity would be for you guys?
Eitan Oppenhaim: So when we are looking right now on the vertical NAND side, we know that we have one side actually that is filling up and almost full and should start some conversion to higher level of layers very soon. And besides that, we see other two customers that started or going to start very soon the conversions to 48 layers. So definitely, we see at least three customers that we are engaged with, that definitely this engagement will be successful. More opportunities will open in 2016. I can’t quantify right now what exactly will be the opportunity. We need also to remember that we need to divide between integrated and standalone. Integrated is ongoing business for us in those memory customers. And what we talked about in the prepared remarks is specifically the standalone penetration, which we would like to strengthen in those customers. So all that the three customers that will invest in the vertical NAND next year in order to do those conversions, in all of them we are competing right now to be the tool of record to assist them to do this conversion.
Edwin Mok: I see. So basically for those customers, you believe that as they can move to 48 layer, there will be more opportunity for standalone and that’s not a business you have and you are targeting to win that business, did I understand it correctly?
Eitan Oppenhaim: It’s correct. So from a technical perspective, once you are going to such a huge device and you are going above the 32 layers, actually you have two kinds of issues. One is the layers itself and the things in the device that’s patterning that require process control. And secondly the whole device, bending and twisting that you need to control. So definitely when you are going with more layers in these devices, the metrology opportunity is increasing. Now, beside the fact that we are bringing to the table the OCD and the standalone capabilities that we had before, the combination with ReVera actually help us to even penetrate further, because there are some of the parameters where we can seek right now even better while we see that through the ReVera or through the VeraFlex products. So, hybridization of the information actually has both companies to go into more opportunities.
Edwin Mok: I see. Great. Last question and then I will let the other guys ask. On the software side, you mentioned very strong this quarter, how much was that is driven by some of the in-situ software solution that you guys are offering. And obviously, we have heard there is a big acquisition there happened last week, right. How do you kind of do you see that in-situ software type offering be a driver for growth longer term?
Eitan Oppenhaim: So, Edwin we said in our strategy, I mean, it didn’t change from the last news on the acquisition that customers would like to move metrology in the process itself in order to control it better. So, it’s true that Lam was one of our partners here. But definitely, there are more partners in the market that we are working with. And we need also to remember that the driver is the customer itself. So if we are looking right down in the future, we are continuing working on this in-situ, it’s meant not to only assist the etchers, but also the CVD and the CMP and other process tools that we definitely believe in the move to going in-situ.
Edwin Mok: Great, that’s good color. Thanks. That’s all I have.
Operator: We will move next to Stifel Nicolaus, Patrick Ho.
Patrick Ho: Thank you very much. Eitan first, in terms of the current market environment, in terms of leading edge for both memory and foundry, what are you seeing out there in terms of that environment and whether you have seen any push-ups, whether either on the foundry and the memory side of things?
Eitan Oppenhaim: So I have seen that looking right now on the industry, following the fourth quarter and going into the first quarter in 2016, I think we need to segment it between foundry and memory. So I think that if we are looking on the three – if we go one level different, you are looking on the foundry itself. I think that if in 2015, we see most of the investments in ‘16 or so in FinFET, definitely next year most of the focus will go into 10-nanometer, I think by less customers. So, we see more R&D development in pipeline. Our estimation that it will happen somewhere at the end of the second quarter and then we will see some ramp, small ramp during the second half. But definitely, it will start somewhere by the end of the second quarter. So definitely, we need to see what will happen in the first quarter and what will be the investment. As I have said before, it probably will be a mix of some expansion on 16-nanometer and some expansion on the 28-nanometer. So this is how the foundry will look like. In the memory, I think that in the DRAM space, I think that we won’t see a lot of expansion. We see some expansion to fill out some fab, some factory that will open in 2016. And we will see the continuous conversion to 20-nanometer on those DRAM, provided that we started this conversion. On the vertical NAND, I think that we will see less investment. And again, from the visibility that we have right now, less investment in the factory in China, but we will see some investments in other two VNAND customers, both one in Japan and one in Singapore that will invest incrementally in order to do the conversion to the 48 as well as for some capacity. This is what we see in the overall market right now in terms of timing and spending.
Patrick Ho: Great, thank you very much.
Operator: We will hear now from David Wu with Indaba Global Research.
David Wu: Yes. Can you clarify one thing? The software business, I remember you said that was strong, but not at record levels. Roughly, what’s the revenue level of all your software businesses in the third quarter?
Eitan Oppenhaim: So in general, we do not specify specifically each quarter the distribution of revenues. I think what’s important to note is that I think only in 2013, this was a business of approximately $1 million only. And we do expect on an annual basis in 2015 that software business would be higher than $5 million on an annual basis.
David Wu: I see. Okay. The other thing I was wondering is what, yes, given the deal between Kelly and Lam Research, what, in practical terms, would affect – how does that affect your relationship with Lam? I assume that’s a customer determined mix of things that they want in the integrated OCD systems, but I was wondering how does that affect practically your relationship with go to markets thing with Lam?
Eitan Oppenhaim: David, I will start with sating that most of our integrated revenues are coming from integrating CMP tools. So, we don’t see that much to the business we are having on the integrated. And regarding the overall deal, I referred to that a bit in my prepared remarks and I can elaborate more. Without getting to the compelling events that drove this combination, which in my opinion firstly is size and growth. I can try and analyze further the impact on our position and continuous growth in this market. Evidently, process control and specifically metrology is becoming more crucial as we see that. And we see that is becoming enabling to our customers to produce better devices that address both the performance, the scale, and time to market. We know by now that the transition from one node to another in foundry actually requires at least 20% more metrology steps and it keeps growing. This deal is actually solidifies the statement that even – the need is even growing for metrology and the position of the metrology actually is becoming much more stronger as it’s not only enabling the customers to get to a very good device, it also enables the process equipment tools to tighten their specs even more, which they cannot achieve anymore with hardware improvements. So from both ways, metrology has been a very nice thought that is needed both by the customers and the process equipment tools. Metrology feedback [indiscernible] is now becoming crucial enablers for the process equipment. And in this environment, that was created by this combination. I don’t think that size is the main issue, but only the technical innovation, the agility and the flexibility this will bring to the market. I think that Nova has the right suite of products, with the right amount of innovation and we are in the right size to meet this growing demand. We think that Nova is well-positioned even after this combination to continue and capture more opportunities and continue our growth as we planned. That’s how I see the full picture on that.
David Wu: Okay. Last question I have is you mentioned the 10-nanometer node among foundry fenders. I assume that two guys that are pushing 10 nanometers are the same people that are pushing 14, 16 the hardest in calendar ‘15?
Eitan Oppenhaim: You are probably right.
David Wu: Okay, thank you.
Operator: [Operator Instructions] We will move next to Keith Maher with Singular Research.
Keith Maher: Hello. A lot of my market questions have been answered. I was wondering though if we could get a little more color on the gross margins. I know you mentioned on the product side just more software and on the service side just better utilization. But I think on your services gross margin, it looks like it’s kind of record, so just if you could flesh that out a little bit more just on the product and services side on the gross margin?
Dror David: Yes. So, first of all, in the service gross margin evidently, because the services have – tend to have fixed cost rates, because these are mainly field engineers in the fab and so forth. So, when revenues are increasing even by a small amount of 5% or 10%, this has the significant impact on the gross margin and this is what we saw in the quarter. Gross margin for services, on a non-GAAP basis I would assume, is around – is even higher than 45%. Evidently, this is not what we expect on a fluent basis. Our goal is to have service gross margins between 35% and 40%. And that’s also important because we want to keep the customer satisfaction at the right level. In terms of the software revenues, they were relatively very high this quarter. So, because of several customers adopting these solutions at the same time I would assume that between the gross margin of last quarter, which I would say is more a representative, which was 54%. They increased to 56% in the third quarter. Half of that is related to the service business and half of that is related to the impact of the software revenues.
Keith Maher: Okay, thanks. That’s helpful. On the inventory levels, I mean you mentioned some of the reasons they increased and turns going down, then it’s going up. Is that something we should expect to continue going forward or would we see a kind of the turnaround in inventory turns pick up going forward at some point?
Dror David: Yes. I think as I mentioned before, some of this increase was related to the new product introduction, the data I mentioned during the discussion. We are having lot of products such as that going out because of the transitions in the industry. And therefore, we do expect in the coming quarters, probably through the end of the first quarter of the year, inventory turns to either remain at this level or even slightly lower than that. In general, our goal is to be between around three times a year and currently, we are lower than that because of this penetration phase.
Keith Maher: Okay. That was useful. And finally, just on the share repurchase, I think you are about done, is that what you said in terms of what’s been – what the board approved? Should we expect some new share repurchase program going forward into 2016?
Dror David: Well, obviously, we have not yet finished this program, but we do expect to finish it in the coming quarters. And evidently, once it’s done, we will have a discussion together with the board on what should be our next step.
Keith Maher: Okay, great. Thanks. That was all I have.
Operator: We will hear next from [indiscernible].
Unidentified Analyst: Thank you for taking my questions. Just a quick one in PSMC and the CapEx pattern, going into 2016, what sort of levels that you currently expect to sort of maintaining such good execution like the past quarters?
Eitan Oppenhaim: Well, we thought it’s one of the questions that is falling under the visibility that we have right now into 2016. From the current position that we have and according to the conference call that they had, we expect similar CapEx to what they have this year, after they have in the last conference call. It’s at least what we expect.
Unidentified Analyst: Okay, thank you.
Operator: And at this time, I will turn the conference back to you all for closing remarks.
Eitan Oppenhaim: Thank you, operator. I would like to thank everyone for joining our 2015 third quarter financial results call today. I would like to take this opportunity to thank all Nova’s employees. And due to their efforts and contribution, we can demonstrate the third consecutive year of record revenues with continuous growth. Thank you all and have a nice day.
Operator: Again, that does conclude today’s conference. Thank you all for joining us.